Operator: Welcome to Dundee Precious Metals’ Q2 2015 Results Webcast and Conference Call. I will now turn the meeting over to Ms. Janet Reid. Please go ahead, Ms. Reid.
Janet Reid: Good morning, everyone. I am Janet Reid, the Manager of Investor Relations. Welcome to Dundee Precious Metals second quarter conference call. With me today are Rick Howes, President and CEO and Hume Kyle, Chief Financial Officer, who will each comment on the quarter as well as David Rae, Chief Operating Officer; Nikolay Hristov, Senior Vice President, Sustainable Business Development; and John Lindsay, Senior Vice President of Projects who are here today to assist with answering questions following our formal remarks. After close of business yesterday, we released our second quarter results and hope you had an opportunity to review our material. All forward-looking information provided during this call is subject to the forward-looking qualification, which is detailed in our news release and incorporated in full for the purposes of today’s call. Certain financial measures referred to during the call are not measures recognized under IFRS and are referred to as non-GAAP measures. These measures have no standardized meanings under IFRS and may not be comparable to similar measures presented by other companies. The definitions established and calculations performed by DPM are based on management’s reasonable judgments and are consistently applied. These measures are intended to provide additional information and should not be considered in isolation or as a substitute for measures prepared in accordance with IFRS. Please refer to the non-GAAP financial measures section of our most recent MD&A for reconciliations of these non-GAAP measures. Please note that operational and financial information communicated during this call has generally been rounded and is in U.S. dollars unless otherwise noted. On this morning’s call, Rick will comment on our second quarter operating results as well as the progress being made on our capital projects and exploration programs for the quarter. Hume will then provide an overview of our Q2 financial results and our guidance for 2015. With that, I will turn the call over to Rick.
Rick Howes: Thanks, Janet and hello everyone and thanks for joining us today. I am pleased to provide you with a summary of the company’s second quarter progress and our outlook for the remainder of the year. We had a very solid quarter despite the gold price weakness. Gold is off 7.5% this year to just under $1,100. The strong U.S. economy, strong dollar and the likely Fed interest rate hike are major factors in the gold price weakness. On top of this, there is weak physical demand and little safe haven demand, which creates strong headwinds for gold. Copper is seeing an even more significant decline so far this year to 17% to just below $2.40. We cannot rule out further possible price weakness. However this time, tax has been softened somewhat by the U.S. dollar strength relative to the currencies where we operate. We are positioned well to weather this storm with our low cost operations, our strong balance sheet and our growing complex copper tolls smelting business, which is not affected by the metal price weakness. Our focus remains on what we can control, which is our operating performance and on our spending. Overall in the quarter, we saw good mine operating performance from Chelopech, improved performance from Kapan and strong Tsumeb performance following the maintenance shutdown completed on April 5. We generated an adjusted earnings per share of $0.02 and cash flow per share of $0.09 in the quarter. With our efforts and focus on reducing costs and maintaining our low cost position, I am pleased to report in a number of areas where we have made good progress. Our overall all-in sustaining cost for Q2 was $661 per ounce, well below the low end of our guidance and below industry average. Our corporate G&A cost in the first six months of 2015 were $7.4 million, or 39% lower than the corresponding period in 2015 achieved primarily through reductions in employee-related expenses and reduced services. Mine cash cost per ton of ore process declined 8% quarter-on-quarter largely benefiting from a strong U.S. dollar. Capital spending of $39 million in the first half of the year is down 67% from 2014 primarily reflecting lower spending of the smelter as the acid plant project nears completion. Full year capital spending is expected to be at the low end of our guidance. Our balance sheet remained strong. Our debt now sits at $150 million. We remained in compliance with all of our bank covenants and we ended the quarter with $30 million in cash and $165 million in undrawn credit. As I have stated before, critical aspects of our strategy is enhancing the value of our existing business operations and I would like to highlight the work we are doing at each of our operations to achieve that. Tsumeb smelter achieved good smelting rates and excellent blister production in the quarter. The advanced smelter shutdown was completed in just 18 days and started up on April 6, well ahead of our schedule. The ran back up to full production took just a few days which allowed the operation to fully recover from the first quarter throughput shortfall. We continued to draw down secondary inventories and expect to reach acceptable levels by the end of the year. Smelter throughput will continue to be constrained while we draw down these excess secondary inventories this year and until the new converters are operational in early 2016. Smelter cash costs were at $330 in the quarter and with annual maintenance shutdown now behind us, we expect smelter cash costs to end the year at the low end of our guidance range. Our major capital program at Tsumeb is nearing completion and we are now in the process of commissioning the new acid plant. This commissioning is going well and we expect to be fully operational in shipping acid to customers this quarter. The last component of the capital program the two new converters are on schedule for construction completion in Q4 and commissioning in Q1 2016. This sets the smelter up to reach the full capacity of 240,000 tons of concentrate and full acid production starting in 2016 which will result in much stronger margins and free cash flows. In April we entered into a 10-year agreement for the transport of acid with TransNamib, the state owned operator of the national railway system of Namibia. A pre-feasibility study is underway for further optimization expansion of the smelter through the addition of the holding furnace. The study will be completed in Q4, work is also continuing on identifying suitable feed sources and commercial terms for this expanded capacity, including exploring potential strategic partners to help fund this expansion. Our flagship operations, Chelopech continues to perform well during the period and we saw further 10% reduction in its cash cost per ton of ore processed to $34. Cash costs per ounce of gold sold netted byproduct credits at Chelopech were $343 in the quarter. Operating performance was in line with expectations in the quarter. High gold grade – higher gold rates and higher throughput offset the lower than expected gold recoveries. Copper grades and recoveries were pretty much in line with our expectations. Production in the second half of the year is expected to be higher than the first half of the year due to higher grades and recoveries in the plan. We expect to be at the upper end of the guidance range for the year. Gold contained in pyrite produced for the first – gold contained in pyrite produced is also expected to be at the upper end of our guidance for the year. We are continuing with our success in our in-mine exploration program to add additional reserves to replace what we mine each year. In our regional exploration program around Chelopech our first hole has intersected significant near-surface porphyry style mineralization containing copper, gold and molybdenum. Our underground program has just gone underway and is starting to test a number of high sulphidation targets. Some political stability has returned to Bulgaria following the elections and successful formation of the coalition government led by the Center-Right GERB Party. Local municipal elections are set for October 25. We did not expect this government to bring in any changes to policy that would negatively affect the mining industry or our progress with Krumovgrad or Chelopech. With Krumovgrad, we continue to make good progress advancing our Krumovgrad gold project. We saw some delays with the forestry agency on preliminary approval of our land use re-designation, but this was finally approved last Wednesday. The next critical step involved approval of the main DDP by the Krumovgrad Municipal Council, which we expect some time in August. With the delay incurred, we are now expecting to receive our construction permit sometime in Q1 2016. Along with the permitting, we are currently advancing the detailed engineering and rebased lining of project estimates and schedules, contractor selection, execution plan and operational readiness plan. We do no expect to make any decision until we have the construction permit in hand. The decision to proceed will depend on revised project economics, market conditions and our ability to fund the project at that time. Exploration activities continue around Krumovgrad we completed 96 line kilometers of IP survey and have identified 43 resistive anomalies. Further mapping and targeting work will be done to filter and prioritize these for drill testing later this year. Kapan had a much stronger quarter with improving grades and volumes mined and processed. This trend is expected to continue to improve with the arrival of additional production equipment early in Q3 and better productivities and performance from the newly trained operators. The second half of the year is expected to be much better than first half as production continues to ramp up to expected levels and grades continue to improve. Cost improvement initiatives are bearing good fruit as costs continued to decline and we have maintained all of our 2015 guidance for Kapan. The opportunity to expand the operation with minimal capital will be considered once the operation demonstrates we can operate at the existing design capacity which we expect to see by the end of this year. We are active both in an in-mine and regional exploration program. The in-mine program continues to find additional economic bandwidths initially identified during the surface drill program. The program will continue to expand our resources and help convert resources to reserves at Kapan. Following the business combination of Avala and Dunav, which we now hold 50.1% of the shares, Avala has since undertaken a comprehensive review of all of its projects and licenses and consolidated its efforts around the key exploration and development projects and has released its non-core exploration licenses. Avala have developed a near-term work plan and strategy around its key properties, which includes identifying new targets and evaluating various alternatives for financing future exploration and development activities on one or more of these exploration properties. It has also implemented cost reduction measures to reduce staff and office overhead costs. We are continuing on both the Tulare project in Southern Serbia and the Timok sediment hosted gold project in Easter Serbia with good success. In addition to this work, Avala carried out early expiration work on its 100% held [indiscernible] license, which is strategically located immediately south of the reservoir minerals [indiscernible] discovery. This included mapping, sampling, geophysics work and the interpretation work is now underway. So in summary, we remain focused on controlling and reducing cost executing on our plans to achieve performance targets we have set to reach our operations as well as completing our mandatory capital commitments at the smelter and moving our Krumovgrad project forward. Thank you. I will now turn it over the call to Hume who will review the financial results and 2015 guidance following which we will open the floor to questions.
Hume Kyle: Thanks Rick. Adjusted net earnings were $0.01 for the quarter and nil for the first six months of 2015 compared to $0.07 and $0.05 per share during the corresponding periods in 2014. From a cash perspective, our adjusted EBITDA for the quarter we generated $22 million compared to $32 million for the corresponding period in 2014. And similarly funds from operations or cash flow from operations before changes in working capital were $20 million compared to $32 million in 2014. These decreases were driven primarily by Chelopech, due primarily to a lower copper grade and lower gold recovery, as well as higher treatment charges and lower commodity prices. For the first six months, adjusted EBITDA was $41 million compared to $49 million in 2014 and similarly funds from operations were $38 million compared to $49 million in 2014. These decreases were driven primarily by Tsumeb due to the timing of its annual maintenance shutdown which in June 2014 occurred in the third quarter. Lower overall revenue per ton due to higher reductions with stockpile interest, estimated metal exposure and mix of concentrate process as well as higher operating costs. Year-to-date results were also impacted by lower commodity prices which were more than offset by higher payable metal volumes as well as lower G&A costs. From a cost perspective, overall mining costs remained at a relatively low level compared with our industry peers and support the generation of positive free cash flow even at current commodity prices. Consolidated all in sustaining cost per ounce of gold netted by product credits during the second quarter and the first six months of the year were $664 and $623 compared with $581 and $794 during the same period of 2014. The quarter-over quarter increase was due primarily to lower payable gold sold and lower by-product prices partially offset by lower mining costs and sustaining capital expenditures and lower allocated G&A expenses. The year-over-year decreases primarily reflect lower mining costs and sustaining capital expenditures, lower allocated G&A expenses and higher payable gold. Cash cost per ton of concentrate smelters at the smelter for the second quarter and the first six months was approximately $330 and $366 compared to $296 and $301 during the same period of the 2014, primarily reflecting lower volumes of complex concentrate smelters as a result in the maintenance shutdown taking place in the second half of March and early April versus Q3 and 2014 and higher labor, power and maintenance costs partially offset by weaker ZAR relative to the U.S. dollar. Sustaining and growth capital expenditures during the second quarter were $6 million and $15 million respectively for an aggregate spend of $21 million down significantly to $51 million in the corresponding period of 2014. Sustaining and growth capital expenditures for the first six months were $12 million and $27 million for an aggregate of $39 million, again down significantly from $119 million in the corresponding period of 2014. These decreases were primarily the result of lower spending on the acid plant project at Tsumeb and the completion of the pyrite project at Chelopech in the first quarter of 2014. For 2016 and beyond, we expect non-discretionary sustaining CapEx to be in the range of $40 million to $45 million. Looking forward over the balance of the year, we are maintaining our 2015 production, operating cost and CapEx guidance, reflecting increased planned production in the second half of the year as well as a stronger U.S. dollar, which will likely result in achieving the lower end of our range with respect to our cost guidance. Based on this outlook and the current market environment, we expect to exit the year with cash and undrawn lines of credit under our revolving credit facility of around $140 million to $150 million. With that, I will turn the call back over to the operator.
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions] Our first question is from Sam Crittenden from RBC Capital Markets. Please go ahead.
Sam Crittenden: Thanks. Good morning, everyone. Question on Tsumeb, I am just curious the concentrate mix for the balance of the year, are you expecting to see more Chelopech concentrate? And then also just curious if you were still processing some of that secondary material in Q2 which may have resulted in a lower revenue per ton?
Hume Kyle: So, Sam we are also processing that secondary materials Rick mentioned in his opening that will continue through to the end of the year. And then we would expect that to normalize in 2015, that’s partially a result of reduction of those, let’s say, 2016 partially a result of the reduction in that inventory and also because we will then have to convert it, then it will change the way we are operating at that point. So, this was a lower quarter in terms of the amount of Chelopech being treated. I don’t expect that to change too much for the remainder of the year. So, we do expect through the course of this year to see lower Chelopech relative to other materials. Does that answer your questions?
Sam Crittenden: Yes, that’s helpful. So, I guess, Q2 results would be fairly indicative for Q3 and Q4? 
Hume Kyle: That’s correct except for the fact we are no longer constrained by the outages.
Sam Crittenden: Okay. So, you will get a few more tons through?
Hume Kyle: That’s correct.
Sam Crittenden: And then just curious on the acid plant tie-in, do you expect any shutdowns when you do the hard commissioning for that?
Rick Howes: No, we don’t. The acid plant we are actually operating, it’s been operating really since the beginning of a month. So, there are no major outages forecast to do any additional tie-ins.
Sam Crittenden: So, are you selling acid right now?
Rick Howes: We will start to ship acid off to Rössing in August.
Sam Crittenden: Okay. And then…
Hume Kyle: Part of the commissioning is that it hasn’t reached commercial operating levels yet.
Sam Crittenden: Okay. And then just on the higher grades of the Chelopech are you moving into different areas, and is there still development work to be able to get into some of those higher grade areas or are you back into those stopes now already?
Hume Kyle: Sam, we talked about Q1 being the abnormal quarter, but if you recall, we had 0.9% copper. And then what we have said was that for the rest of the year gold levels were expected to remain at the levels they were in Q1 and what would happen is copper would come up by about 20%. So, if you look at what happened in Q2 that basically happened. So, these areas have already developed. They are available for production. So, there is no issue with our confidence on being able to achieve that.
Sam Crittenden: Okay. And then just one last one for me, you mentioned some interesting surface results at Chelopech, are you doing follow-up holes now and would you plan to release some assays here at some point?
Rick Howes: Yes. I mean some of those assays will be released as part of the MD&A. Their results on the initial porphyry intersections certainly show up on relatively lower grades in terms of gold. So, we are focusing more on our high sulfidation targets right now. We didn’t want to see how deep the gold porphyry went and what sort of the scale it was. So, we drilled really one hole into it. And now we are moved off that target and moving on to several other high sulfidation targets.
Sam Crittenden: Okay, thanks very much guys.
Operator: Thank you. [Operator Instructions] We have no further questions registered. I would like to turn the meeting back over to Mr. Howes.
Rick Howes: Alright. Thank you very much for joining our call today and wish everyone a great long weekend.